Vincent Clerc: Good morning, everyone, and thank you all for joining us today as we present the Second Quarter of our 2023 Results. My name is Vincent Clerc. I am the CEO of A.P. Møller - Mærsk, and I am joined today by our CFO, Patrick Jany. I think we can slip also to the next slides. All right. As we closed the first half year of 2023, I am overall very pleased with the company performance in a very challenging market circumstance, achieving a group revenue of $13 billion this quarter and a robust EBIT margin of 12.4%. The volume and rate environment has developed as anticipated with inventory destocking continuing to be the primary driver for lower volumes, which could be felt in the performance of all our segments. A strong cost focus in ocean and terminal, in particular our caution the top line impacts and supported our bottom line performance. In logistics and services, the impact of this normalization process was felt stronger than we had anticipated, resulting in growth below our expectations and higher cost, a transitionary situation we are in the process of correcting. While the first half year has developed essentially in line with our expectations, we do not see any sign of an expected volume rebound in the second part of the year. We are therefore reducing our full year outlook for global container volume. We now anticipate a range of minus 4% to minus 1% compared to our previous expectations of minus 2.5% to plus 0.5%, and we expect to perform essentially in line with this global growth. Reflecting our strong first half performance, we are raising our full year financial guidance. Let's now turn to Slide 5 and take a more detailed look at the second quarter across our segment. As the graphic shows on this slide, we see all the KPIs in the ocean segments reverting to a normalized pattern. That said, our strategic focus on customer centricity and above all increasing the percentage of volumes on contracts does continue to caution our results, despite the precipitous drop in rates that we observed starting just over a year ago. In addition, we have employed all the tools of dynamic capacity management that we have developed in the previous cycles, and we have also brought out our familiar cost containment playbooks. The combination of these measures has led us to achieve good margins this quarter, nearly 14% on an EBIT basis. That said, as we enter the second half of the year, we faced the challenge of reduced volume growth expectations combined with expected new vessel delivery and higher capacity in the market. So far, the market has absorbed the higher capacity via better network planning and slower steaming. Yet we are on the lookout for supply side risks. Moving to Slide 6. The trends we observed over the past two quarters will continue or continued into the quarter – second quarter of 2023. For Mærsk, the sector of retail and lifestyle, especially in Asia Pacific and North America remain challenged in particular because of the close link our business has to the container transport, which is still double digit – which is still down double digit compared to the previous years in the Pacific. This correction has had a transitionary higher than anticipated impact on our bottom line, and consequently also impacted our margin. In our Transported by Mærsk product family, we are closely linked to ocean volumes and we are also there affected by a combination of both lower volumes and weaker air freight rates. As we first approached this year's, our expectations was for a volume recovery in the second half. Given our revised volume expectations showing a continuation of destocking in the second half, we expect a continued subdued top line growth until these transitionary effects have fully played out. We must now redouble our commercial efforts and increase our focus on cost management to regain momentum towards the 6% EBIT margin in the second half. This is an exercise right now for the month to come. Looking at the longer term trajectory in logistics and services, we can see that compared to where we were pre-pandemic, the segment now consistently generates value for the company and has a much broader footprint that meets the demands of our customers. We expect a return to strong organic growth once the cyclical effects of the normalization have been worked out. As we move to our terminal segment on Slide 7, we can see the deep resilience of this business model just as ocean and logistics and services terminal faces the same effects of lower volumes, and in particular the elimination of last year's congestion related extraordinary storage income. Yet our excellent cost control allowed us to keep EBITDA margins, essentially flat compared to previous years at close to 35% with a robust ROIC of 11.4%. As the very profitable quarters from previous years annualize out, this may decline a little bit further, but we should remain well above the 9% long-range target. Coming to our long-term KPIs, we continue to make good progress in the context of normalization of the COVID-fueled peak. We can see our focus on cost containment has been successful in both Ocean and Terminal segments, but as mentioned earlier, we have fallen a bit behind on our EBIT margin ambition in Logistics & Services. This is really where we need to step up our game. We are also clearly not pleased with the organic top line development of Logistics & Services, but here I see that this is caused by a transitionary in normalization process, which has had a more significant impact than we originally expected. Underlying that the business is on the right track and we are continuing to score significant commercial new wins with our customers. I am confident in a recovery here as we stay the course and in particular as we continue to work on modernization and harmonization of our various IT legacy systems. Therefore, right now our focus is more on cost management and efficiency improvement given our expanded footprint. Moving to Slide 9 to close with our guidance on Slide 10, as I mentioned at the beginning given that we now expect a prolonged period of lower volume driven by continued inventory destocking, we have reduced our global container volume expectations. Despite this weaker than originally anticipated outlook, and given our strong first half year performance, we are raising our financial outlook and now expect underlying EBITDA of $9.5 billion to $11 billion; underlying EBIT of $3.5 billion to $5 billion and free cash flow of at least $3 billion. On a segment basis in Logistics & Services, given the performance of the first half and our volume expectations in the second, we now aim to regain momentum towards the 6% margin in the second half. Finally, our cumulative CapEx guidance for the years 2022 to 2023 and 2023-2024 remain unchanged, although given our spending patterns, we now expect that we will be closer to the lower end of these ranges. For all the deep details on these aspects and more, I would like now to turn over to Patrick.
Patrick Jany: Thank you, Vincent. And allow me to also welcome everyone on the call today. As Vincent just discussed, Q2 2023 was a strong quarter in light of unfolding normalization of ocean markets and the continuing inventory correction impacting demand in many verticals. We generated revenue of $13 billion, significantly lower than prior year, but only down 9% sequentially. Our continued focus on cost control, particularly in Ocean and Terminals, allowed us to achieve an EBITDA of $2.9 billion, representing a strong EBITDA margin of 22.4% and an EBIT margin of over 12%.  Combined with low financial expenses net profit was strong at $1.5 billion. In particular, in a comparison to the pre-COVID context. Cash generation was good as well, and we continue to return cash at $2.4 billion to shareholders this quarter, executing on our share buyback, including the payout of withholding tax on dividends. At the end of the quarter, we maintained a high net cash position of over $7 billion, which supports our investments for growth and our continued share buyback. Now let us take a look at the development of cash flow in detail on Slide 12. Starting with our cash flow from operation on the left, in Q2, we generated $2.8 billion driven almost entirely by our EBITDA of $2.9, which is a strong cash conversion of 95% as working capital developed as anticipated. Our gross CapEx was $738 million in Q2, and as we are now at the half year mark with a total of CapEx of $1.6 billion, it is fair to assume that we may come in towards the lower end of our $9 billion to $10 billion guidance range for the years 2022 and 2023. This quarter was also completed by the sale of MSS resulting in net cash flow of $685 million. And combined with a strong cash generation and the restraint CapEx, we were able to fully finance the returns to shareholders in this quarter. We therefore maintained a net cash position of $7 billion, which is based on cash and deposit amounts of $22.1 billion compared to $22.4 billion in the previous quarter. On Slide 13, we see the continued normalization of Ocean working its way through our results. That said, despite the 50% drop in revenues compared to the prior year quarter, we maintained our strict approach to contract fulfillment, dynamic capacity management and cost control, enabling us to maintain margins that would have been seen as very strong during previous cycles. Looking forward, we expect average rates to further decrease in the coming quarters as contracts have now reset and shipment rates are expected to continue to be under pressure, while volumes will remain subdued, implying a continued strong focus on costs and operational excellence. We can see the effects of both rates and cost measures on Slide 14, where, in particular, the effect of lower rates is plainly visible. Worth noting on this slide is that for the first quarter in quite a while, our three major cost buckets of bunker, container handling costs and network costs, all contributed positively to profitability, while the benefit we saw in the other revenue line from revenue recognition and demerger income has essentially filtered out, and we see this position once again turned into a cost position. Moving to Slide 15. As previously mentioned, we are still in the process of absorbing the normalization of freight rates since the peak observed in the third quarter last year. In addition to the 51% decline compared to the prior year quarter, we are still observing a sequential decline 15% in this quarter, and this trend will continue through next quarter as well. In the second quarter, we observed a volume decline of approximately 6%. Although the global volume numbers are not yet published for the second quarter, we anticipate that our volumes were probably roughly in line with the market. It is worth noting that compared to Q1 this year, this represents a 6.7% volume increase, providing some evidence that the trough of the inventory destocking is behind us. We continue to manage our capacity dynamically. And in light of lower demand, we operated approximately 3% less capacity than the prior year and have increased capacity utilization sequentially from 88% to 91%. Given that our share of volumes of contracts for Q1 was at 67% and was 68% in Q2, we have now adjusted our full year expectations a bit lower, but still on par with the previous year. Finally, our share of multiyear contracts remains high with 1.5 million FFEs at the end of the quarter. Another factor helping us to show a smoother rate pattern than that observed in the spot markets. On Slide 16, you can see that our cost containment efforts were particularly successful this quarter, leading to a 17% lower operating cost. This was primarily driven by bunker, which was significantly lower this quarter, down 28% compared to the second quarter of 2022 when the Russian invasion of Ukraine led to average bunker prices of over $800 per tonne. In addition, the disappearance of congestion and the use of slow steaming across the fleet led to an 8% reduction in bunker consumption, leading to an overall 34% lower bunker cost. This was complemented by significant savings across all cost categories, leading to an 11% reduction of operating cost, excluding bunker. Therefore, despite the 6% lower volumes, we were able to achieve a 1% reduction of unit cost at fixed bunker a remarkable achievement in the challenging quarter, and we thank all the colleagues in Ocean for the dedication and hard work. On Slide 17, we turn to Logistics & Services. Here, revenue was 3% lower on a reported basis and 19% lower in organic terms. As mentioned earlier, the decline continues to be driven by the strong destocking we observed in our key customers, showing that our Logistics & Services segment is particularly sensitive to container volumes in the retail and lifestyle sectors, especially in Asia-Pacific and North America. The organic development is actually in line with some Ocean indicators where North American head-haul volumes remained the weakest, down 23% year-to-date and down 17% in the first two months of the second quarter. Given the acquisitions we have made, this is indeed where we are most exposed. The lower revenues led to a corresponding decline in profits, yet we were able to keep our EBIT margin at 3.4%, only 50 basis points below that of the first quarter. As Vincent mentioned earlier, while we continue to register good wins indicating future growth, we must now increase our focus on cost management to regain momentum towards the 6% EBIT margin in the second half. Examining the details of Logistics & Services on Slide 18, similar to our results in Q4 and Q1, the lower volumes were visible in all our product families. In Managed by Maersk, we observe lower demand for booking services in our lead logistics activities offset by improved demand for our cold chain logistics and the acquisition of Martin Bencher. Under Fulfilled by Maersk, we see the benefit of our recent acquisitions in particular LF Logistics. Taken on an organic basis, revenue declined 19% in line with the organic revenue decline of the segment. Here too we see the effect of our exposure to import volumes in particular to first stage flow warehousing. In Transported by Maersk, we continue to see lower volumes, particularly in LCL and Air with an additional impact of lower rates in Air. Overall, it is certainly a quarter where our exposure to specific geographies and sectors were not favorable and our increased footprint also triggers additional costs both elements we will work on in the coming quarters. Looking forward, based on the purchase orders that we see through our 4PL activities, we do not yet observe a consistent pickup of volumes and therefore expect the destocking to continue in the second half. On Slide 19, we turn to Terminals, which performed very well under the current market challenges. Similar to the other segments, we saw lower revenue driven by the combination of lower volumes and the normalization of last year’s extraordinary storage income as a result of global port congestions. While we can still observe this in a year-on-year comparison on a sequential basis, we are back to a typical baseline. Terminals continues to exhibit excellent cost control leading to an essentially flat EBIT margin of just over 28%. We can also see the progressive profitability gains in the segment in the ROIC, which was 11.4% nearly 3 percentage points higher than in Q2 2021 before the global port congestions struck. We are particularly pleased that our efforts to make Terminals one of the world’s best terminal operators is not just seen in this excellent financial results, but one recognition from the World Bank and S&P Global with 18 of our locations ranked near the top in terms of globally most efficient terminals. Moving to Slide 20 for a view into our Terminals EBITDA bridge. Here we can see that the volume effect was again primarily driven by the weak market in North America. However, we – when seen on a sequential basis similar to Ocean, we observed a nice increase in volumes of just over 8% compared to the first quarter of 2023. As in previous quarters since normalization of port congestions began, the greatest change was seen in revenue per move, where lower storage income outweighs the effect of CPI-related tariff increases. Nonetheless, Terminals has rigorously implemented several cost initiatives, accelerating the reduction in cost per move compared to Q1 and enabling the essentially flat margins as previously mentioned. To finish up on Slide 21, we turn to Towage & Maritime Services. In the second quarter, we completed the divestiture of Maersk Supply Services. The divestment took place in May and was the reason for the bulk of the revenue decline. While MCI continues to face a slow market for containers, [indiscernible] demonstrated robust performance growing revenues via favorable cargo mix and tariff increases, and a stable amount of tuck jobs. The improved EBIT performance is primarily driven by strong results of Höegh Autoliners in Q2 compared to an impairment of the same activity in the previous year. Following our segment review, I would like to hand over to the operator for the Q&A session.
Operator: Ladies and gentlemen, at this time, we’ll begin the question-and-answer session. [Operator Instructions] And we have the first question from Cristian Nedelcu from UBS. Please go ahead.
Cristian Nedelcu: Hi, thank you for taking my question. Looking at your – the midpoint of your full year EBITDA guidance, I calculate this implies around $3.4 billion of EBITDA for the second half. And on my math, this implies that Ocean EBIT in the second half should be broadly breakeven. I'm just checking, am I missing anything? Is this the way you're thinking about the run rate profitability in Ocean going forward, sort of breakeven for the next few quarters or could we see one, two quarters of negative EBIT in Ocean? Thank you.
Patrick Jany: Thanks, Cristian, for your question. So when you look at our guidance, indeed, we have upped the midpoint and you're absolutely right from the basic mechanics, right? Clearly, it indicates that the EBIT is rather low for the second half, and that comes from Ocean. So that is correct from the logical point of view. I would say that, we also obviously would probably see that Q3 will be stronger than Q4. So it is not a straight average, you could see here, which implies that Q4 in Ocean will be quite weak. And it might be so far a few quarters as we have highlighted the risk as well on capacity coming on the market. On the other hand, we are doing quite a good job on cost containment as we have seen and we'll see eventually how rates contracts renegotiations in Q4 and market environment settles, but clearly, it's a lower profitability for Ocean, the second half. Indeed.
Operator: The next question is from the line of Muneeba Kayani from Bank of America. Please go ahead.
Muneeba Kayani: Good morning. So my question's also on kind of the second half outlook implied by your guidance. If you can just help us understand how you've thought about the low and high end of the range. What are the moving parts here on rates, outlook, and volumes given we've seen a bit of a bounce recently in spot rates. Thank you.
Vincent Clerc: Yes, thank you. I think obviously for us, the big X factor here in terms of variability is on the freight rates as you mentioned, that is really what could impact this significantly. The rest is very much within range and easy to model, both from a volume and EBIT perspective. What we have done is we've basically taken a look at the exposure that we have, like what can change in terms of the percentage of volumes that we have that are subject to adjustments in the course of the year, which is essentially our spot business. And we've modeled basically different scenarios about how bad this could go and made sure that we put the bottom at a place where we feel comfortable that we will not get out of the guidance. We've looked also at what we think could happen both on the cost side, but also on the right side for it to have a positive spin on things and then made the conclusion on that basis. So it is really an assessment of the Ocean outlook that you see driving still the top and the bottom of the range.
Operator: Next question is from the line of Alexia Dogani with Barclays. Please go ahead.
Alexia Dogani: Yes, thank you for taking my questions. Just following on the same thing, obviously, Vincent, you're slightly implying that Q4 onwards, we could be seeing even some losses on the EBIT level. So I guess when you look at logistics and services performance to date, the organic revenue decline of almost 20% is quite weak or you could say below your expectations, if I'm not mistaken. How quickly can you get to the path of recovering momentum in that division? So next year it can help if Ocean is a bit more challenging? Thanks.
Vincent Clerc: Yes, thank you, Alexia. Let me give you two comments. First of all, on the Ocean. We know that there is a large order book that will need to be faced in into the next 12 to 24 months. It is clearly a problem whether it's going to be a big problem or a relatively small problem, we don't know yet. We've seen quite a lot of discipline so far, and but whether it's going to continue or not is something that we will have to see in the course of the next couple of years. So our expectations is right now that yes, you will see a challenged environment for the next couple of years in Ocean, whether you will have quarters that go into negative territory when you are, as it is implied in the second half year, pretty close to the breakeven. I think it’s possible that it does, whether it goes deep into that territory, I think is more, is everybody’s guess at this stage. And I guess we’ll be coming back to that in six months when we talk about specifically the guidance for 2024. With respect to logistics and services, I think that what has happened is at the beginning of 2019 – the first half of 2019, we had a logistics and service business that was in terms of revenue just above $3 billion for the half year. And we have a business now that is just under $7 billion on second for this part. So it has moved so much with acquisitions, with new wins, but also with some transitionary peak-related windfalls that we didn’t have the same insight in terms of where our baseline was going to be. And that’s why you see the decrease now. But it is still at a base with this activity level that is completely – on a completely different footprint and footing also from what we had before. But it means also that we are a little bit behind on putting together our cost plan. So this is something that needs to come through in the coming month. With respect to seeing the growth return, but I think you will – what you will see is it’s basically the year-on-year comparison we need to work flesh out basically this transitionary or temporary windfall that we have had over the few quarters. We are definitely about three quarters into that, so I would say one to two quarters and we should see the growth come back.
Operator: The next question is from the line of Dan Togo Jensen from Carnegie Investment Bank. Please go ahead.
Dan Togo Jensen: Yes. Thank you. Maybe a question relating to the rates. In the past few years, we’ve seen that huge difference between spot and contract rates, and I understand that they are converging now. Can you give some color on where the spread is now between contract and spot rates? Are we more or less on par what you report or is there still a huge difference? Just some color here will be helpful. Thanks.
Patrick Jany: Yes. Thanks for your question. So indeed I think we are – we have seen and we have based a lot of our more stable approach for ocean on contract rates, and that has allowed us to develop good relations with our customers, which we see continuing, and we have a good contract fulfillment on our contract side. That implies that we continue to focus on contracts, which to your point, continue to have a premium compared to the actual shipment rates. As we have said earlier on, and continues to be at every renegotiation clearly there is an approximation of both, but we count and we see still a premium between contracting and shipment rates, which we’ll continue to see going forward as well.
Operator: Next question is from the line of Sam Bland with JPMorgan. Please go ahead.
Sam Bland: Thanks. Thanks for taking the question. You mentioned on the prepared comments that you haven’t yet seen an improvement in volume. If you look at whether it’s GDP or consumer spending or economic activity generally, should we expect a recovery in volume at some point? Or could it be that we’ve kind of gone from a period of very high volumes to more of a neutral kind of level, in which case you wouldn’t necessarily expect a rebound? Thank you.
Vincent Clerc: Yes. Thank you for the question, Sam. I think so – so the way I think about this is as you have clearly a destocking taking place especially in the U.S. but also to a certain extent in North Europe, you see a temporary disconnect between how container volumes are moving and how GDP is moving. It was true also on the positive side last year, you could say the boom of 2022 was not underpinned by GDP because people were ordering more than they were consuming. And now it’s not under the correction, the minus 26% in the first quarter and 17% in the Pacific in the second quarter is not underpinned by GDP either. But is – and as you see destocking, I mean, if you have destocking, it’s because consumption is higher than what is essentially being imported. Now I think we need to qualify the fact that the macro environment and the macro outlook is subdued. And what that mean is the volume recovery is not going to be a double digit rebound once the destocking has taken place, it will be modest and it will be more in line with GDP growth, but we should be able to see a growth come back in line with GDP and see that correlation reestablish itself once the de-stocking has taken place.
Operator: The next question is from the line of Ulrik Bak from SEB. Please go ahead.
Ulrik Bak: Hello, Vincent and Patrick, also just a question from my side. We saw the significant sequential drop in the unit cost in Ocean, and I know you alluded to it, but can you perhaps just put some more words on what drove this improvement if we just focus on the cost, excluding bunker? And also, how should we think about this unit cost over the coming quarters and into 2024? Is there more to be had from that perspective? Thanks.
Patrick Jany: Yes. Referring to the improvement on cost. I think it’s been quite significant as you highlight and has been a significant contributor to our results in the Q2. I think it’s a great effort here, which takes place on other various components. So as you can see on our bridge here that the container handling costs have come down quite significantly, which is due to lower terminal costs, right? So renegotiation of terminal costs, better service reliability and also a strong effort of repositioning containers and so on, particularly in comparison of last year where you had quite a high cost on that one. So the lack of congestions, better management of what we have in strong renegotiation and focus on cost has driven those cost position down. You can see that as well. Then on the network costs, which imply on the one hand, of course, the slow steaming and less congestions imply that we have reduced the consumption of bunker that has a big element, which we detail as well. And we have also been reducing our TCE, so our time charter costs and slot charter costs as well. So all the elements, actually, all the different cost category show progression and an improvement. Now are we at the end of that? Certainly not. I think we mentioned back in our Q1 call that we certainly have an ambition to reduce cost further, partly the cost per unit. Obviously, it helps when also the units don’t go down, this quarter. So, I think as volumes stabilize, it will also help to have the cost per unit coming down in future. But on the absolute amount, of course, there’s still a lot of things, which we are working on and the teams are working on. So you will see this cost position as well improve over time in the next 12 months to 24 month as well.
Operator: Next question is from the line of Omar Nokta with Jefferies. Please go ahead.
Omar Nokta: Hi thank you. Good morning. Thanks for taking my question. I just have to – I wanted to follow up a little bit on the destocking and some of the gains we’ve been seeing in the freight market recently, over the past perhaps five weeks to five weeks, we had seen gains on the Transpacific. It’s now starting to slowly make its way perhaps into the Asia-Europe leg. Just wanted to get a sense from you if you could sort of think about or talk about these gains that we have seen, even though it’s very short term, how much of that would you say is due to a winding down of the destocking versus higher peak season activity versus aggressive capacity management by Maersk and other liners? Thank you.
Vincent Clerc: Yes, thanks for the question. It’s a good question. I’m afraid it’s not always easy to get to all the data that we would like to have for that. I think what you have seen happened is in the first part of the year is clearly there was – as we – as I mentioned on one of the previous questions, strong destocking. We’ve seen traded volumes into North Europe and North America, especially seeing a significant annual correction. And these are still well below 2019. The market is still below 2019 level. Even though from a GDP perspective and from an economic activity perspective, it is above 2019. So that’s the part that we see coming back. It’s hard to figure out when this is going to finish because it’s basically almost one warehouse at a time that orders begin to pick up again, and we will see – we expect to see some level of increased activity in the second half year in connection with some of the seasonal merchandise that needs to move. So, I’ve seen in some of the analysts also is it 5% or 6% or something. I mean, our guidance on volume implies more volumes in the second half year than in the first half year. So, we expect that to come back. Some of it because customers have run out of inventory and start ordering again in some way, just because it’s seasonal goods that need to move through. I think the capacity management so far, especially if we think – if we take into consideration that in the last nine months, about 7% to 9% of global capacity got released from congestion. I think this – we’ve seen significant actually discipline across the industry, both by multiple carriers in multiple geographies, reflecting the fact that there is lower demand, and that is something that you see. And after that, it’s a bit more like what’s your geographical footprint on one versus the other. But I think overall that’s a bit how it shaped out. We expect that this should continue and – but we will have to see exactly how this fleshes out as some of the supply side risks that we have seen start to maybe way more on to the market.
Operator: The next question is from the line of Lars Heindorff from Nordea. Please go ahead.
Lars Heindorff: Thank you for taking my question. It’s regarding the volume growth – the indication that you’ve been giving for the market of minus 4% to minus 1%, and your expectations have grown in line with that? I mean, so far we can see that you’ve been cutting back on capacity and losing market share on a sort of more general level. And I wonder now with also with the idle fleet being a little bit lower now in the second quarter compared to the first quarter? How we should think about that? I mean, what will make you grow in line with the market in the second half if you continue to cut back on capacity, while most of your competitors are taking delivery of quite a bit of new vessels?
Vincent Clerc: Yes, Lars, I think let’s just get things into context just so we all have the same data. Our market share for the – finished the year at 14.2% for last year, and we achieved 14% here in the first half of the year. Given the fact that there is a bit of different geographical footprint between what you’re exposed to and so on. I think that I would treat this beginning as being broadly in line with what we want. We have actually the opportunity as long as it makes financial sense not to reduce further and to further increase utilization also across our network, which is not at where there is still some capacity available for us to take on the few percent more volumes that would be needed for us to continue to cope with the expected demand that see in the second half. So I think – when I think about this year, there is nothing with the size of the fleet that we have today that would prevent us from taking on more volumes, except of course, if things were to turn unprofitable or make no sense from a financial perspective, then we would have to really take a consideration whether market share is so important or margin is more important, which maybe you can hear and how I phrased this that I tend to weigh margin higher than market share.
Operator: The next question is from the line of Sathish Sivakumar with Citi. Please go ahead.
Sathish Sivakumar: Hi, there. Yes, thanks for taking my question. So my question is basically around the logistics. If you look at you are seeing some decline of deceleration in organic revenue growth, if I can understand there, is it mainly a function of the customers that you signed up last year because there was a capacity bottleneck in the overall supply chain? You’ve seen some benefit because of that or we just starting to unwind now, or is it because that your exposure within logistics to certain verticals, which is seeing more like say, bigger decline year on year, if that’s what actually contributing to your underperformance in logistics? I just want to understand more of an industry dynamic, or is this the benefit that you had last year now the customer’s probably going back to freight forwarders or other specialized logistics providers? Yes, thank you.
Vincent Clerc: Yes, so, I just want – the reason why I’m very convinced that this is just a transitionary thing is that there has been no loss – no significant loss of contract within the logistics segment. But what we have seen is the throughput has diminished. And I think what is different from us compared to some of the other logistics companies is the fact that we are more exposed to inbound logistics through basically PO management aggregation, vendor management aggregation of POS, desegregation of POS and moving to the warehouses and proportionately less exposed to the outbound logistics. And that has meant that we see more correlation between, our revenues are moving in logistics and services than maybe some of our competitors are seeing at this stage. And that is for us to resolve over time as we expand our logistics footprint is actually to start balancing off better inbound and outbound logistics so that we have more resilient revenues and earnings over time. So I think what you see here is if you have a Pacific that is 20% down for the first half year, then what you will see is lower volumes going through our aggregation and disaggregation centers in Asia and in the U.S. and you feel that in the revenue quite significantly. As this normalizes and the growth starts to pick up again then you will see that this continues to go because we, we still have a significant amount of new contracts that are either in negotiation or in implementation, and that will continue to fuel the growth for, for the future. So I think for in terms of direction, I don't see a migration away from the business. I just see that there has been some seasonal business and activities that we have taken on that are simply not here anymore, and that kind of needs to be flushed out of the system so we can really get back to a real underlying growth.
Operator: Next question is from the line of Dan Togo Jensen from Carnegie Investment Bank. Please go ahead.
Dan Togo Jensen: Yes. Thank you for taking my follow-up. Maybe a more broad question here; are you seeing any risk of disruption again here in the container market? I know there's a lot of capacity out there and volume [indiscernible], but when and if volumes come back? I mean, we hear talks of I know there's a contract now in place in the U.S. west coast, but there's still very much a post new investments out there. Could there be a risk for them striking workflow, et cetera? And also maybe an update on what's happening in the Panama Canal would be helpful? Thanks.
Vincent Clerc: Yes. So the thing with these disruptions is that they always come out from where you least expect them. So is there a risk? I think over the last few years I've learned to be humble on what we know and what we don't know. At least right now the risks that we have identified and that we look at, I see fairly low chance of that. You mentioned the West Coast or the Panama Canal; I see low chance of that resulting into a serious disruption. Of course, if you think specifically about the Panama Canal there is an El Niño that is looking to be especially strong, that is in the offing that will have some implication. But actually in general, what El Niño results into is a higher level of precipitation, which is exactly what has affected the Panama Canal, which was lower water and some restrictions related to that. So – so at least on the risks that, that you mentioned and some that are most commonly referred to, I don't see a big – a big risk of disruption. Now you have always the imponderables and unpredictable geopolitical things, and you may have also some other issues popping up here and there. I think what is clear when you talk to customers is that they don't know either where the disruptions could come from. Everybody expects that some more will come at some point and that also that their supply chain are still vulnerable to these disruptions. The way that they were vulnerable in 2020 when COVID came and laid it bare and that's actually why the demands and the push that we have from customers for us to accelerate our transformation is really there and is really strong and it's something we need to respond to.
Operator: The next question is from the line of Lars Heindorff with Nordea. Please go ahead.
Lars Heindorff: Yes. Thank you for taking my follow up. It's on the logistics side. I understand your reasoning and arguments about the recovery there, but also that you are in a transitional period here. So the question goes on, on M&A. How far are you into integrating the most recent acquisitions that you've done? And at this point in time, will you be ready to go out and make new acquisitions? And if so what are we looking at? Is this going to be bolt-on small [ph] or would you rather prefer something big?
Vincent Clerc: Good. So we have in connection with the beginning of the year when we reorganized, we actually decided to consolidate all brands and organizations into Maersk. So this is proceeding as planned and we will – we'll continue – we will continue, especially on the tech integration and so on to work in the months to come to, to finalize this. So we're getting into a place actually where this business – these businesses are fully integrated and where we can actually contemplate now not just adding to an integration workload that we will have to take on at some point, but where we actually see that workload really diminish. And then we can contemplate actually looking at new potential candidates for that. What this is going to be? I think for me, what is really important right now is some of these – these couple of missteps that we have had in the first half year performance, I want to see that corrected. And I don't want to load the card too much and try to M&A ourselves out of problems. I want to make sure we're on a solid ground here. And after that, I think we will perfectly be able to contemplate further acquisitive growth. What that looks like? I think we'll share more once we have a case to talk about.
Operator: We have another follow-up question from Alexia Dogani with Barclays. Please go ahead.
Alexia Dogani: Thank you for taking the follow up. I just want to explore a little bit the statement you made that contract rates are maintaining their premium over the spot rates. Can you describe why your top 200 customers are willing to pay you a premium over spot? And is this – do you think this is part of kind of the transit nature of the post-pandemic effects that we should, therefore, expect the historical relationship between spot and contract to be regained in next year? Thank you. 
Vincent Clerc: So they can pay a bit more because they get also a completely different service. If you're one of those top 200 customers and you book with Maersk, you always get space. If you're booking on spot, you may or may not get space depending on what out of 200 customers need. So of course, it's a different value proposition, if you will, that has some correlation to what happens in the spot because it's not worth whatever the delta is going to be. But it is also worth more to the customer to have this protection and this certainty that things are going to move when they need them to move. And so this is not something that is new post-pandemic level. It has been the case always. It is simply a reflection of a very different value proposition, which for them is actually cheaper from an end-to-end perspective because having delays and having to rework promotions or to rework all of your flow of inventory is more costly just to save $70 or $100 on a container is more costly to have to replan everything than it is to have the certainty that it flows through and you can actually reach your sales and have the stuff on the shelf when you need it.
Operator: So this concludes our Q&A session. And I hand back to Vincent Clerc for closing comments.
Vincent Clerc: All right. In closing, I would like to leave you with the following final remarks. Despite all the challenges of lower volumes and inventory correction, the organization and all the Maersk colleagues pulled together to produce a very solid and strong quarter two results. After the past couple of years, which were heavily affected by the pandemic, the transition to a new normal is progressing in line with our expectations. We raised our financial outlook to an EBITDA of $9.5 billion to $11 billion and underlying EBIT of $3.5 billion to $5 billion and free cash flow of at least $3 billion. In this new trading environment, we find our – the new trading environment we find ourselves in, provide the impetus for us to continue transforming A.P. Moller - Maersk into the global integrator of container logistics. Our customers demand it. And many of the challenges that affected the global supply chain over the past couple of years may have temporarily abated, but they remain unresolved. Through our strategy, we have the potential to solve some of them and be able to protect our customers better when new disruptions occur. Therein lies a great growth opportunity and a more favorable shareholder return profile, and that is ultimately what truly integrated logistics is all about. At the same time, this environment also enhances the necessary – the necessity to manage our cost base with urgency to roll back some of the inflationary pressure we have felt and continue to feel and realize productivity gains from digitization efforts and growth time. And again, our Maersk colleagues have demonstrated their ability to pull through in challenging times and these pivotal moments to deliver strong progression by focusing on the right priorities. I am very confident in our ability to do just that this time around as well.  With that, thank you all of us for joining us today, and goodbye.